Operator: Good morning. My name is Felicia, and I'll be your conference operator today. At this time, I would like to welcome everyone to Cinemark Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to hand the conference over to Chanda Brashears. Ma'am, you may begin.
Chanda Brashears - Vice President, Investor Relations: Thank you, Felicia, and good morning, everyone. At this time, I would like to welcome you to Cinemark Holdings, Inc.'s second quarter 2016 earnings release conference call hosted by Mark Zoradi, Chief Executive Officer; and Sean Gamble, Chief Financial Officer. In accordance with the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that are discussed by members of management during this call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause Cinemark's actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are set forth in the company's SEC filings. The company undertakes no obligation to publicly update or revise any forward-looking statements. Today's call and webcast may include non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable financial measures calculated and presented in accordance with GAAP may be found in today's press release and on the company's website investors.cinemark.com. I would now like to turn the call over to Mark Zoradi.
Mark Zoradi - Chief Executive Officer & Director: Thank you, Chanda, and good morning, everyone. We appreciate you joining us for our 2016 second quarter results call. While it is widely known that the second quarter's North American industry box office declined 9.3%, I would be remittent if I didn't point out that it was up against the highest grossing quarter of all time. It is noteworthy that in the second quarter of last year, Cinemark outperformed the industry by an impressive 290 basis points. Cinemark was again able to surpass the North America industry box office performance by 120 basis points in the second quarter of 2016. Our U.S. circuit has now exceeded the North America industry for 27 out of the past 30 quarters. And our outperformance during these period have been meaningful, an average of more than 400 basis points demonstrating our consumer facing initiatives that we've been focused on for over the years are delivering consistent results. Our second quarter 2016 international results were truly outstanding, given the very tough prior-year comp of 15% attendance growth. Our Q2 attendance was up 27.5 million patrons was relatively flat to last year's record-setting results and significantly outperformed the North America industry. This is remarkable given the economic and political dynamics across Latin America and reinforces that our industry is recession resilient. Argentina was particularly strong this quarter, and set an industry record for the month of May, which is driven by the local title, El Hilo Rojo. This is yet another example of the opportunity within Latin America with respect to local films supplementing the Hollywood film content. As a reminder, non-Hollywood locally-produced films can represent between 10% and 20% of the overall international box office, which can be a meaningful contributor to the international revenue growth. Our food and beverage and field operation teams continue to knock it out of the park and generated an all-time high domestic concession per cap of $4.26, a robust increase of 7%. Our trend of concession per cap growth has now extended to 38 consecutive quarters upholding the longest growth trend among our peers. As discussed last quarter, our concession per cap growth has primarily been generated due increased purchase incidence, which we've accomplished thorough our focus on creative floor design such as expanded merchandising displays that allow patrons to conveniently select from a broader assortment of candy, snacks and bottled drinks in a manner in which accelerates the checkout process and encourages impulse purchases. The food and beverage team is also focused on diversified concession product and package offering such as beer and wine, gourmet coffee and ice cream, burgers, cheese sticks and chicken wings to name just a few. To-date, 40% of our worldwide theatres feature enhanced concessions and 15% offer alcohol. As concession revenues contribute a significantly higher gross margin, we'll continue to focus on initiatives that drive this revenue category. Another focal point and key initiative for the year is our luxury lounger theater repositioning, which continues to yield strong results. As of June 30, we had 611 auditoriums, representing 13% of our U.S. footprint, featuring luxury lounger reclining seats. Our market-based approach continue to deliver exceptional results, realizing average attendance increases in excess of 40% for those auditoriums that have featured loungers for more than six months. Based on these outstanding results, we're expediting the lounger conversion of certain theaters scheduled for next year and this year to take full advantage of the promising 2017 lineup. We now anticipate approximately 1,000 auditoriums will feature reclining seats, representing more than 20% of our domestic circuit by the end of 2016. Sean will address the CapEx associated with these screens during his prepared remarks. We maintained our balanced investment approach with regard to all capital expenditures, including luxury loungers. We'll continue to seek opportunities to reposition theaters as long as we are exceeding our stringent investment hurdles for both ROI and adjusted EBITDA margin. Moving on to another of our initiatives that continued to deliver. Our 216 worldwide XD auditoriums are strong contributors, with 3.7% of our global screens generating double that percentage and representing 7.7% of our box office. With 131 XD auditoriums in the U.S. and 85 XD auditoriums internationally, we remain the number one private label premium larger format operator in the world. We continue to prefer the economics, flexibility and control of our XD strategy, which along with 3D drove our premium percentage of worldwide box office to 29.5% this quarter, exceeding the other major U.S. exhibitors. Shifting to another consumer facing initiative, Connections, our free app-based U.S. loyalty program went live across the nation just a few short months ago. We're more than two-thirds of the way to our first year projection of 1 million members with more than 725,000 guests having joined in just 17 weeks. Connection members are earning points for movie ticket and concession purchases, successful use of CineMode and social media sharing. In addition to exclusive content, sweepstakes and contests, members can redeem their points earned for a variety of traditional and experiential rewards, including movie merchandize, music and movie downloads, mobile games, free concessions, ticket upgrades, access to early screenings and much, much more. While we're still in the early days, we are seeing fantastic results, with active engagement figures increasing approximately 50% from the initial stage. We'll continue to adapt Connections to enhance the guest experience, drive royalty and attendance, and increase concession sales. As we continue to grow our customer database, Connections enables customized messaging and stronger studio partnerships through direct marketing campaigns aimed at specific audiences. Again, we're very excited about Connections and the opportunity it presents, and look forward to keeping you all appraised as the initiative advances. Last, but certainly not least, is our focus on our organic growth initiatives. During the quarter, we opened 21 screens in the U.S. and 23 screens internationally, including our new theater in Paraguay, bringing our global footprint to 522 theaters with 5,888 screens in 16 countries. Our diversification throughout Latin America has provided the tools to manage the impacts of inflation, economics, and politics, while providing long-term growth opportunities. Our continued focus on each of these key strategy initiatives will ensure Cinemark remains a leader in the industry that has realized stable growth and celebrated record box office in three of the past five years domestically. Regarding our industry, year-to-date through July, the 2016 box office has surpassed last year's all-time record setting results by more than 3%, which is much stronger than anyone anticipated going into the year. We maintain our enthusiasm for the rest of the year, including the third quarter, on the heels of Suicide Squad's record-breaking performance of $134 million in its opening weekend, as well as the remaining film lineup, including Rogue One, Fantastic Beasts, Passengers, (10:22), Doctor Strange, Trolls, Sing and Billy Lynn's Long Halftime Walk. As I touched upon a moment ago, our optimism for 2017 film slate continues to grow considering the following high-profile releases. Star Wars: Episode VIII, Despicable Me 3, Justice League, Spider-Man: Homecoming, War for Planet of the Apes, Transformers: Last Knight, Guardians of the Galaxy 2, LEGO Batman and Fast & Furious 8, which translates especially well in our international markets. We are pleased with our continued over-performance of the North American industry and our ability to generate consistent results even with a challenging year-over-year comparison. We commend our entire worldwide team for maintaining our industry-leading adjusted EBITDA margin of 22.6% for the quarter and 24.4% year-to-date. That concludes my prepared remarks. I'll now turn the call over to Sean to address a more detailed discussion of our financial performance. Sean?
Sean Gamble - Chief Financial Officer & Executive Vice President: Thank you, Mark, and good morning, everyone. Before digging into the numbers, I wanted to remind you about a few slight modifications we made to the presentation of our financials that commenced in the first quarter of 2016 and will continue on a go-forward basis. First, we've updated our computation of adjusted EBITDA to include all cash distributions from equity investments. Second, we've reclassified certain maintenance and monitoring expenditures associated with our projection and sound equipment from film rental and advertising costs to utilities and other. Finally, we've started including constant currency metrics in the MD&A section of our 10-Q, on top of our as-reported financials. These changes have been made to be more consistent with our peers and provide a clearer presentation of our figures. The changes have been updated for all periods presented in our earnings release, and we refer you to our 10-Q for a full breakdown of the details. Now diving into our second quarter results, our total worldwide revenues were $744.4 million with adjusted EBITDA of $168.4 million and an adjusted EBITDA margin of 22.6%. As Mark previously mentioned, through our disciplined investment approach and operational excellence, we've managed to continue to exceed 20% adjusted EBITDA margins in both strong as well as challenging box office environments. In the U.S., second quarter attendance was down 7.1% versus prior year, to 45.5 million patrons, driven by last year's unprecedented strength of film content. Our average ticket price declined 1% to $7.59, due primarily to a film mix this quarter that skewed heavily towards family-friendly content, which carries a lower proportion of full price adult and premium concept tickets. Combined, attendance and price drove our domestic admissions revenues down 8.1% to $345.3 million. Our domestic concessions revenues were essentially flat year-over-year, despite the decline in attendance. Mark already outlined the underlying drivers of our concessions per cap growth. And I would like to reiterate the increase of 7% to $4.26, as well as the achievement of another all-time concession per cap high. Total U.S. revenues for the quarter were $556.8 million, and adjusted EBITDA was $127.8 million, which resulted in an industry-leading adjusted EBITDA margin of 23%. Internationally, attendance was relatively flat year-over-year in the face of an incredibly challenging comp given last year's record second quarter attendance results that were fueled by the popularity of Furious 7 across Latin America. Our international admissions revenues were $110.8 million, which were down 13% versus last year as reported driven by foreign currency headwinds, but up 6% in constant currency. Our reported average ticket price was $4.03 and translated to a constant currency increase of 6.7%, primarily as a result of inflationary price increases. Second quarter international concessions revenues were $59.8 million, which declined 7.4% as reported, but grew 11.8% in constant currency. Our reported concessions per patron was $2.17, which translated to a 12.9% increase in constant currency. Overall, our international segment generated total revenues for the second quarter of $187.6 million as reported, with adjusted EBITDA of $40.6 million and an adjusted EBITDA margin of 21.6%. Please note that our as reported international results were impacted by an approximate 18% foreign currency headwind in the quarter. And while this headwind remained significant, it is an improvement from the approximate 25% impact we've experienced over the last four quarters. As a reminder, the vast majority of our international operating expenses are transacted in local currency, including film rental and facility lease expenses. So the impact of currency headwinds are predominantly translation-based and not transaction oriented. Shifting back to our worldwide consolidated results. Second quarter film rental and advertising costs, as a percentage of admissions revenues, improved 40 basis points to 54.9%. This improvement was driven by a slight reduction in the concentration of admissions that were generated from blockbusters with 47% of the North American box office drive from films that grows more than $300 million compared to 49% in the second quarter of 2015. Concession costs, as a percentage of total concession revenues, also improved by 30 basis points in comparison to the prior year. Salaries and wages, as a percentage of total revenue, increased to 11.3% due to the global impact of minimum wage pressures in international payroll tax reserve and reduce fixed cost leverage associated with the domestic attendance decline in the quarter. Facility lease expenses and utilities and other costs also increased both growing by 50 basis points worldwide as a percentage of total revenue. These increases were driven by our international segment and were primarily due to new theaters as well as reduced government utility subsidies. And conversely, G&A for the second quarter declined by 10 basis points as a percentage of total revenue. Collectively, second quarter pre-tax income was $86 million compared to $113.7 million in 2Q of the prior year. Our second quarter's effective tax rate was 36.8% and net income attributable to Cinemark Holdings Inc. was $53.9 million or $0.46 per diluted share. With respect to our balance sheet, we ended the quarter with a cash balance of $583.6 million and a net debt position of $1.2 billion. We remain prudent with regard to our capital planning and yet again took advantage of favorability in the debt markets this quarter to amend our senior secured credit facility and reduce its interest rate by 25 basis points. This amendment will result in $1.7 million of annual cash interest savings going forward. Shifting attention to the status of our U.S. footprint, we operated 341 theaters and 4,576 screens in 41 states and 102 DMAs at quarter end. We built two theaters with 21 screens, acquired one theater with 10 screens, and closed six screens during the quarter. We have signed commitments to open two theaters and 28 screens during 2016, and eight theaters representing 80 screens subsequent to 2016. We expect to spend approximately $66 million in CapEx for these 108 screens. We also anticipate closing around 90 screens over the full course of this year. Internationally, our Latin America circuit grew to 181 theaters and 1,312 screens across 15 countries. During the quarter, we expanded by three theaters and 23 screens. As of quarter end, we had signed commitments to open seven new theaters and 41 screens during 2016, and four theaters representing 29 screens subsequent to 2016. We anticipate spending approximately $39 million in CapEx for these 70 screens. As outlined during our last earnings call, we continue to view Latin America as a long-term growth opportunity, but we are cognizant that the political and economic environments in certain countries coupled with the complexities of building in these densely populated areas may have an impact on our short-term organic growth efforts. As a result of these factors, we are targeting around 6% screen growth in Latin America in the near term. Regarding overall CapEx, we spent $83.8 million in the second quarter, including $25.9 million on new builds and $57.9 million on existing theaters, which includes core maintenance, theater repositioning with luxury loungers and other cash flow generating opportunities. Our original 2016 CapEx guidance for the full year was between $300 million and $325 million. Given the acceleration of around 100 luxury lounger conversions that Mark discussed in his prepared remarks, we now anticipate full-year CapEx will come in at the high end of that range. This spend is broken down approximately as follows. $100 million designated for new builds, both domestically and internationally; $80 million on core maintenance for existing screens in line with our historic run rate; and the residual $145 million is driven by cash flow generating projects that include our luxury lounger and other reinvestment opportunities such as the concession equipment Mark discussed earlier. This capital spend is geared toward growing our company and delivering a high-quality experience for our customers, which remains our top priority as it pertains to capital allocation and our focus on building long-term shareholder value. In closing, we are very pleased with our execution during the quarter and year-to-date, as we continue to outperform the industry and maintain our market-leading adjusted EBITDA margins. Furthermore, we're excited about the prospects that film content and our customer facing initiatives bode for the rest of this year as well as 2017 and beyond. Felicia, that concludes our prepared remarks, and we would now like to open up the line for questions.
Operator: Your first question comes from the line of Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC: Yes. Thanks for taking my question. I actually have two questions for you. First, Mark, in your prepared remarks you said 40% of your worldwide peers have enhanced concessions and 15% have alcohol. Where do you think that number ultimately turns out, do you expect to have a 100% of enhanced concessions and where could alcohol go? And then Sean, you spoke a little fast, I'm just trying to figure out what your ending screen count can be in both the U.S. and Latin America does seem even with closures you're on a path to get to over 100 screens. Is that true?
Mark Zoradi - Chief Executive Officer & Director: Okay, Eric. I'll take the first one. Regarding theaters in which we are offering some form of alcohol, majority of that is beer and wine and frozen drinks. But right now, we're at about 15% of our circuit as we sit today. I think by the end of this year that number will probably be closer to 20% and we'll continue to grow that in the coming year. I don't have a percentage number for you for 2017, but at least I'll give you a projection for the remainder of this year. I think that will grow to 20%. Regarding enhanced food, we're going to continue to offer enhanced food. We offer everything from full restaurant service down to gourmet coffee, ice cream and hamburgers, et cetera. We're going to continue to grow that beyond the 40%, but I don't have a figure to give you. Part of that depends on the size and the ability of particular theaters and the concession area in order to just to be able to expand that, but it's been successful for us, it continues to give good results, and I see us growing that 40% into 2017.
Sean Gamble - Chief Financial Officer & Executive Vice President: And then thanks again for the question, Eric. As far as our screen counts go, in the U.S., we're running a little bit higher than normal in terms of our screen closures this year. So, when we look at the full year, we expect to be somewhere from between flat to may be slightly down in our total number of screen ads, could be zero to negative 20 to negative 30. And internationally, some of that will depend on for usual (24:11) of the timing of openings, but we expect we'll be somewhere between, I would say, 75 to 85 for the year based on the way things look now in terms of new openings.
Eric O. Handler - MKM Partners LLC: Thank you.
Sean Gamble - Chief Financial Officer & Executive Vice President: You bet.
Operator: Your next question comes from the line of Alexia Quadrani with JPMorgan.
Julia Yue - JPMorgan Securities LLC: Hi. Thank you. This is Julia Yue on for Alexia. I've few questions. First, we continue to see such costly (24:37) domestic average concession per cap growth, which I know you talked about a bit. Could you breakdown for us, what do you think the biggest drivers of this concession growth will be going forward, and what you see for the outlook for the rest of the year? And then also, some investors think that 2017 could be a big box office year for the industry given so many announced tentpole of films, and they're accelerating your luxury lounger target this year to take advantage of that strength. Would you consider getting a bit more aggressive with your pricing strategy next year given (25:05) or do you think it's really still more important to draw new audiences and grow attendance longer term?
Mark Zoradi - Chief Executive Officer & Director: Okay, Julia. Just, your first question was F&B, your third question was on pricing. What was your second one?
Julia Yue - JPMorgan Securities LLC: The last one is just, would you get more aggressive with pricing on the luxury loungers?
Mark Zoradi - Chief Executive Officer & Director: Okay. The food and beverage question, we are, I mean, literally every month, we are trying new and adapted food offerings. We're doing it on a regional basis, we're doing it to satisfy local needs. So, everything from the way that we offer popcorn, to the drinks, to the bottled drinks, to the candy alignment, to hot foods. So, I see that our core concession is consistent and continuing to grow. And then, what we're trying to do is, increase the incidents of people actually buying concessions by offering new and adaptive products. By doing that, it does two things; one, you get a higher percentage of people actually coming up to the concession stands; when they buy one thing, they usually buy a second. And I think the best way to do that is to continue to test new and adaptive items that we're literally doing on a monthly basis. Relative to pricing, given that we have been very aggressive this year relative to adding significant amount of recliners, and, as we mentioned, we'll be at approximately 1,000 by the end of this year, that is going to give us the opportunity to look at pricing for the remainder of this year and into 2017, as those reclined auditoriums come online, people see and understand what a great product it is. So, I anticipate us having the ability to look at price in the coming six months to a year.
Sean Gamble - Chief Financial Officer & Executive Vice President: And I would just add, to your point on 2017. Our historic philosophy has been to slightly trail inflation in our pricing and make sure we always have affordable pricing. That said, when we do see the potential of strong film content ahead, similar to what we saw in 2015, we will take the opportunity to go after that and kind of meet demand with some increased pricing. So, as 2017 continues to shape up, we'll bear that into our thinking as we evaluate our overall pricing strategies for the year.
Julia Yue - JPMorgan Securities LLC: Perfect. Thanks so much.
Operator: Your next question comes from the line of Robert Fishman with MoffettNathanson.
Robert Fishman - MoffettNathanson: Hi. Good morning. I got one for Mark and one for Sean, if I can. Mark, so now that you're moving more aggressively on the re-seating initiative, plus take into consideration AMC's higher targets going all the way out to 2018. Do you think it is a fair characterization that the returns for these additional screens are going to be lower than the crop of screens that you initially targeted? And then, on a related note, do you feel like the overall industry is going to be forced to upgrade more screens to better compete for market share going forward?
Mark Zoradi - Chief Executive Officer & Director: Well, Robert, we take the rescreening, as you know, very, very seriously. We've been pretty disciplined at it. So, the results that we've had so far have reached and, in some cases exceeded, that 40% attendance increase we looked at. It's hard to project what future ones are going to do. Clearly, you choose the ones in the beginning that you think are going to have the highest potential and the quickest return on it. But in all cases, as we've done, and I think we've mentioned to you and others multiple times, we're going to be careful and very diligent in our financial analysis as we look to expend future CapEx for additional screening. I anticipate that we're going to continue to do this into 2017, don't have a specific number for you because we take that very disciplined approach and don't just set an overall target for it. But you can be assured that we will not continue down this road if we don't see the returns equaling or exceeding those targets that we've set.
Sean Gamble - Chief Financial Officer & Executive Vice President: And the only other thing I would add is, is, you still continue to have certain capacity barriers when it comes to the strategy when you have highly utilized theaters. So your question on, does kind of the whole market tend to shift in this direction, most, I think, will continue to see movement, but there are certain limitations when you hit capacity constraints, where it can actually hurt you when you're taking out half of your seats.
Robert Fishman - MoffettNathanson: Okay. That's helpful. And, so, Sean, just for the follow-up here, how should we think about CapEx in 2017? I understand we're not going to get a specific target, but do we expect, now that the acceleration and recliner initiative for this year will continue into next year, keeping CapEx levels elevated?
Sean Gamble - Chief Financial Officer & Executive Vice President: It's possible, I'd say, as we continue to look at what that pipeline is, both for recliners as well as other cash flow generating opportunities. We're just going to have to see what potential is out there, and what that ultimately means for our CapEx as we line up our budget for next year. So, I would say there is the potential for a heightened CapEx, but it's early to say. There's also the potential that could come down a little bit.
Robert Fishman - MoffettNathanson: Okay. Thank you both.
Sean Gamble - Chief Financial Officer & Executive Vice President: Thanks, Robert.
Operator: Your next question comes from the line of Barton Crockett with FBR Capital Markets.
Bart E. Crockett - FBR Capital Markets & Co.: Okay. Great. Thanks for taking the question. I wanted to just ask a couple of things about what's happening in Latin America with the movie slates. The first thing is, I mean, we're right now, obviously, in the midst of the Olympics comp (31:07), are you seeing any impact whatsoever in Brazil, or just generally across your circuit globally, from people may be watching the Olympics?
Mark Zoradi - Chief Executive Officer & Director: Barton, the simple answer to that is no. We haven't seen it in Brazil, in Latin America, or the U.S. We had an outstanding box office weekend across all of our 15 countries this last weekend, with no denigration of the box office relative to the Olympics.
Bart E. Crockett - FBR Capital Markets & Co.: Okay. And just to kind of follow-up on that. I mean, I'm not completely on top of the international release slate for Suicide Squad. But is that something that you would expect to be opening during the Olympics, or has it already opened, and is it something that's working in Latin America, that genre?
Mark Zoradi - Chief Executive Officer & Director: Yeah. It's opened across LatAm. It's been doing – except Argentina, where it still remains to be opened. So, so far early signs similar to what we saw with like a Deadpool, are very strong.
Bart E. Crockett - FBR Capital Markets & Co.: Okay. And then you call up the strength in Argentina. And I was wondering if you could tell us what, is that local movies that drove that and when we look on at the comps, are there any local movie kind of skews that you'd ask us to think about when we try and model for this?
Mark Zoradi - Chief Executive Officer & Director: Well, the Argentina set an August box office record and it was driven by a local content. I'd say that the challenge you get with some of these local films is, they're harder to predict what's going to be a big hit. So, often times they do come across as more of a pleasant surprise. So, I think – I don't know if you have a detail, as you look forward, I don't think we have an expectation for the rest of this year of a big local title, but that doesn't mean that one couldn't come out and surprise us again.
Bart E. Crockett - FBR Capital Markets & Co.: But in terms of like year ago comps that things that would be tough to comp against surprisingly successful movie, anything that you'd call out?
Mark Zoradi - Chief Executive Officer & Director: I don't think so. I think, we'll hit one of those more next year with Brazil when you had The Ten Commandments in the first quarter this year doing an incredible number. It was the biggest film of all time in Brazil. So, I think that will present a tough comp for Brazil in the first quarter of next year, but nothing I'd say that jumps to mind for the rest of this year as a tough year-over-year comp.
Bart E. Crockett - FBR Capital Markets & Co.: All right. And then switching gears slightly here, just one other thing. There is some interesting innovation and technology around the theater industry right now. One, company that's gotten some backing is Atom Tickets, and I've noted I don't think you guys are really in that. And I was wondering if you could talk about how you see that initiative and explain your stance towards it, and your view towards kind of social media as a way of driving ticketing generally.
Mark Zoradi - Chief Executive Officer & Director: Well, first of all, we think that Atom Ticket (sic) [Atom Tickets] (34:00) is a very interesting concept. We've certainly talked to them and are continuing to talk to them. We offer our online tickets through two areas; one, a very significant internal system cinemark.com and we sell a lot of our online tickets that way; secondly, Fandango. We are adding a social media elements to our own ticketing engine and we are in talks with Atom Ticket (sic) [Atom Tickets] (34:27), but nothing significant to announce at this point.
Bart E. Crockett - FBR Capital Markets & Co.: Okay. All right. That's great. I'll leave it there. Thank you very much.
Mark Zoradi - Chief Executive Officer & Director: Thank, Barton.
Operator: Your next question comes from the line of Ben Mogil with Stifel.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Hi. Good morning, and thanks for taking my question. On the recliners, I think you said you were seeing 40% attendance gains for those that are open six months. For those of the rest that have been open for more than a year, what kind of gains are you seeing?
Mark Zoradi - Chief Executive Officer & Director: We're still in the same – it's been a consistent result. In other words, it's those that have been open six months or greater. So, we're seeing the same kind of attendance growth as they continue, it's holding.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Okay. Great. And have you put through price increases, when are you generally putting pricing increases through on the recliners, is it upon opening, or are you waiting sort of sometime duration?
Mark Zoradi - Chief Executive Officer & Director: Ben, we're doing both. There are some theaters where it makes sense to take a price increase right in the beginning. Traditionally in the very beginning, we didn't do that, but as we've gotten more and more down this line, we've realized that it makes sense to take price right in the beginning, others, we've waited three months or six months in order to start to begin to take price increases. So, there's no set formula in that, and it really depends on that particular theater and the competitive nature of that zone.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thank you. And then sort of second question and last one. So, clearances sort of seem to be rolling off. Are you seeing any – I mean, too early to have buildings being built based on clearances going. But are you seeing any increased interest in permitting, anything you're hearing from supply being increased because of clearances? And then in general, I mean, most of the clearances I think you have are against the other majors, so it sort of ends up becoming kind of a, I'm assuming (36:13). But in general, how do you view clearances if they fully go away on a net positive, neutral or negative basis?
Mark Zoradi - Chief Executive Officer & Director: To answer your first question, Ben; no, we've not seen any increase in building or zoning based on clearances. And in regards to just looking at box office in particular zones that were, in the past, cleared zones and now there are three, I guess, three plus one of the independents that are no longer honoring clearances. We've seen very little or no increase or decrease in the business going on in that particular market. So, as it's related to our business, it's really truly been very small impact. And I think you probably know that we had a very small, relatively small number of zones in which clearances were even an issue for us. So, the impact has not been anything of material nature to report.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Okay. That's great. Thank you very much.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of Tony Wible with Drexel Hamilton.
Tony Wible - Drexel Hamilton LLC: Yes. One housekeeping question and the other one had to deal with salaries per screen. First, what was the premium percentage mix in 2Q 2015? And on the salaries per screen, if my math is correct, I think it's up around 11% sequentially, while your attendance per screen is, let's just call it, kind of flattish globally. I know you mentioned that there were some minimum wage cost pressures in there. But was that something that was just instituted, because I would have thought that with salaries per screen running at an elevated rate for over a year now that would have been in, before this quarter.
Sean Gamble - Chief Financial Officer & Executive Vice President: Let me take the salaries per screen first. The minimum wage hikes that we kind of referred to in Affordable Care Act, some of that has been in – but certain states tends to increase that over time. So, we've continued to see a little bit of increase on that. I would say, as we've been rolling out new builds and doing our recliner conversions, we have a number of closed screens in terms of the recliners which tend to be a little bit less efficient plus our new builds often times come in with a slightly higher cost per screen. So that can impact things and then there's just some general inflation. So, we generally aim to offset those cost increases where we can through prices as well as finding ways to generally increase productivity elsewhere across the circuit.
Mark Zoradi - Chief Executive Officer & Director: I mean in regards to percent of the box office coming from premium tickets, so that would be things like, of course, our XD and 3D, we had approximately 29.5% of that coming from those premium tickets during the second quarter. At the end of last quarter, at the end of the first quarter, that number was approximately 20%, 19.7%.
Tony Wible - Drexel Hamilton LLC: In 2Q 2015 – so, I'm just kind of looking at the year-over-year, what was that number?
Mark Zoradi - Chief Executive Officer & Director: About 33%.
Tony Wible - Drexel Hamilton LLC: 33%. Okay. And then, back to the salaries, so is the range that we've been running at, I think, has been anywhere between 6% to 10%, call it, on salaries per screen. Is that kind of the new normal now, because you're accelerating the build out of some of these premium experiences?
Mark Zoradi - Chief Executive Officer & Director: I would hesitate to give you specific guidance on that at this point. I would say, particularly also the one point I neglected too was, as we continue to experiment with some enhanced concessions and offerings like that, that can also impact our labor albeit it's helping to drive our per cap increases. So, I'd say, I would expect it to be perhaps on the higher end of that in the near term as we work through some of that. And then over time, as we work through some of these productivity initiatives, I think our aim would be to continue to bring that back down.
Tony Wible - Drexel Hamilton LLC: Great. Thank you for clearing that up.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of Eric Wold with B. Riley.
Eric Wold - B. Riley & Co. LLC: Thank you. Couple questions, down on Latin America. I know previous question touched on Suicide Squad opening, I guess, besides Dory coming out the last day of Q2 in Brazil, so minimally impacting that quarter. Any other slate shift issues as you think about for Q3 relative to the domestic market, and then any early looks in that same question into Q4?
Mark Zoradi - Chief Executive Officer & Director: No shifts of material that come to mind on that. And Q4, most of Latin America is going to be try and be consistent. There might be an exception, I don't have every one of the 15 countries release schedules in front of me, but generally you're going to see Rogue One and Beasts as well, and that's going to help drive the fourth quarter. I'd have to go back and look at each of the smaller territories, but in the large territories, they're going in the fourth quarter.
Eric Wold - B. Riley & Co. LLC: Okay. And then you noted a target of 6% screen growth in the near-term. I guess, one, how would you define near-term, and then, any thoughts on impacts that you're seeing on development schedules beyond the near-term?
Mark Zoradi - Chief Executive Officer & Director: We're continuing to look at that 6% for the balance of this year and into next. I think that what we've been talking about is somewhere in the 70 screens to 80 screens increase in Latin America. And I think that's where we're going to be targeting it again.
Eric Wold - B. Riley & Co. LLC: Okay. And then final question, assuming no changes to FX rates from where they are now, when you start leveling off on that impact.
Sean Gamble - Chief Financial Officer & Executive Vice President: In terms of FX, I think if things were to hold right now for the rest of the year, and I think we could see FX impact reduce to low single-digits and potentially even flip around in the fourth quarter, particularly if Brazil held at the level it's at. I think most economists still think that those local currencies will weaken again, but they've been wrong so far for the year. So hopefully they'll continue to be.
Eric Wold - B. Riley & Co. LLC: Perfect. Thank you guys.
Sean Gamble - Chief Financial Officer & Executive Vice President: You bet.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of Jim Goss with Barrington Research.
James Charles Goss - Barrington Research Associates, Inc.: Thanks. Got a couple of them. First, in terms of Connections, you're talking about growing the database. Are you looking at that as a vehicle for alternative programming and making that a bigger component?
Mark Zoradi - Chief Executive Officer & Director: The key thing is growing the database for us on Connections, is the ability to have the easy wherewithal to communicate back to those customers on initiatives specifically to Cinemark, and also initiatives in concert with our studio partners. The value of knowing exactly who those customers are and to communicate back to them, marketing messages is the key element that we're looking for there.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And what exactly are you trying to do there, for that?
Mark Zoradi - Chief Executive Officer & Director: And certainly, relative to alternative content, if we believe that customer base is a good target for it, then absolutely we'll be marketing alternative content to them as well.
James Charles Goss - Barrington Research Associates, Inc.: Okay. I also was looking at that schedule you had about with the theaters and screens in the South American markets. While Colombia has now overtaken Argentina in terms of numbers of theaters, but Argentina – more theaters or screens per theater, at I think nine versus five. I'm wondering how you're looking at investment in both of those markets. And that seems like it's currency risk in Argentina versus political risk in Colombia. Is that how you sort of look at it, and how do you evaluate those markets?
Mark Zoradi - Chief Executive Officer & Director: We like both those markets. It's interesting. In Argentina, we have a greater emphasis in downtown urban areas, especially Buenos Aires. And in Colombia, we certainly have theaters in Bogotá, but we have a greater emphasis of our theaters in the outlying areas. And I don't think there's any outlined large political risk in Colombia, in fact I was in Colombia less than a month ago. And the country is relatively much more stable than what it's been in the past. And we have a very, a very good strong business there. And in Argentina, we're far and away the market leader.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And one last question, on lease renewals, are screen closings now less likely due to your reseating options?
Mark Zoradi - Chief Executive Officer & Director: I think that depends on the situation, what's going on in the marketplace, as well as what's going on with the negotiation. So, I'd say that, I'm not sure it would be less likely. It gives us one more option to look at, but we're generally not waiting to the very end of the lease to pursue that type of effort. It'd be whenever it makes sense to do that. So, I guess the short answer would be, no, it's not less likely, it just going to depend on the circumstances of the marketplace and the negotiation.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks.
Mark Zoradi - Chief Executive Officer & Director: Thanks, Jim.
Operator: Your next question comes from the line of Leo Kulp with RBC Capital Markets.
Leo Kulp - RBC Capital Markets LLC: Hi. Good morning, and thanks for taking the question. My question was really around the domestic concessions per cap, which came in pretty strong. Can you provide some color around the drivers of the $0.28 increase in terms of volume, enhanced menu, and pricing? And can you also comment around your thoughts on tax-on-top and what you can do there?
Sean Gamble - Chief Financial Officer & Executive Vice President: Thanks for the question, Leo. I'll take the first part, I'll let Mark answer the second. As far as the $0.28 per cap increase, we saw about a third of that coming from just strength of volume, about a third of it came from price increases we put in over the course of the quarter, and then the rest was a combination of some of our new builds that had carried a slightly higher pricing, as well as the floor design efforts we've had to just accelerate speed of purchase.
Mark Zoradi - Chief Executive Officer & Director: Leo, in regards to tax-on-top, we are in the process of rolling that initiative out across the country where appropriate. So, you will start to see that roll out.
Leo Kulp - RBC Capital Markets LLC: Got it. Thank you, both. And one – other one if I could. Have you done any work around the reseats and where you're seeing the outperformance coming from? Is that really more around taking share, or is it organically growing the market?
Mark Zoradi - Chief Executive Officer & Director: Leo, that really depends on the market. There are examples where it's been primarily share shift, and there's other examples where the market has truly grown. And the fact of putting these seats in has made a tremendous difference in the overall film zone. So it really is both, and you can't make a categorical statement either way.
Leo Kulp - RBC Capital Markets LLC: Thank you.
Mark Zoradi - Chief Executive Officer & Director: Thanks, Leo.
Operator: Your next question comes from the line of Matthew Harrigan with Wunderlich Securities.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thank you. You commented on how the local production tends to gyrate around and it's really unpredictable in the short-term. But when you just look endemically at the resources that are being devoted to local production by media companies in the context of, I guess, we just had some pretty good local sales numbers in Brazil, but still the economy there doesn't feel very good. How do you see that trend shaping long-term? Can you remind us how much of your receipts are local films, I thought it was about 15% to 18%, but I guess it moves around quite a bit.
Mark Zoradi - Chief Executive Officer & Director: Matthew, it really depends on the year and it's more like 10% to 20%. I know that's a large range, but that's the film business, and it really depends on what has been put in process. The thing that's encouraging to us is, it's not just local producers that are making these movies, but also some of the Hollywood-based studios are now putting or have been, and in fact even going back to my Disney days, putting local content people on the ground so that you have both local producers and foreign producers creating the local content. The difficult part is, they don't have as much lead time associated with the production. They tend not to be the big action-adventure movie, many times it can be more of a locally-produced story. And so those are harder to call in terms of what the potential is going to be in the marketplace. And sometimes they just take off and run, and I know we've talked about Ten Commandments in Brazil, but that was very much sponsored by the church in Brazil. And it became a phenomenon there because of that sponsorship. And no one saw that that amount of marketing power that was put behind it.
Sean Gamble - Chief Financial Officer & Executive Vice President: And I would just say, we haven't seen any slowdown in local production based on what's happening in either political or economic environment, including Brazil.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thank you.
Mark Zoradi - Chief Executive Officer & Director: Welcome.
Sean Gamble - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Your next question comes from the line of David Miller with Loop Capital Markets (sic) (Topeka Capital Markets) [50:36].
David W. Miller - Topeka Capital Markets: Yeah. Hey, guys. Mark, I don't recall a year or even a summer where there were so many or there have been so many sequels of really established valuable franchises that have just radically underperformed. Alice Through the Looking Glass, Ice Age 5, Mutant Ninja Turtles, Now You See Me 2, all of that's done very well in China obviously. Ghostbusters, Star Trek, even Jason Bourne has not really done the business that you would expect. And I'm just wondering what's going on here? Are these just bad movies in your opinion or are audience is craving something different? What have you seen at the box office in terms of just parsing out your data that might suggest that audiences are looking for something different or any color you can give in terms of why this is happening in your view? Thanks.
Mark Zoradi - Chief Executive Officer & Director: It really comes down – this is an age-old issue. It goes back for as long as we had movies – it goes back to the content of the movies. You rattled off a bunch of disappointments relative to sequels. I might not put Jason Bourne into that category. You didn't mention Dory, which obviously is Nemo. So, I'm not here to promote sequels, but I am here to look at the experience base. And the experience base is, it comes down to the movie. And so, it's very difficult to take those and say, this is a trend, because the moment you turn around and then we see what's happened with other films and we've had great success. And we're sitting right now at a box office of up 3% after the first two quarters. And everybody predicting going into this year, box office was going to be down significantly. So, we're actually very pleased with where the business is, sometimes it comes from sequels, sometimes it doesn't. Dory was a giant hit. And of course, Suicide Squad was one that was a very big hit and Deadpool in the first quarter. So, the great thing about the movie business is, it is somewhat unpredictable from the creative standpoint. So, I would be hesitant to categorize that sequels will no longer be successful going into the future. To me...
David W. Miller - Topeka Capital Markets: Yeah. Yeah. Just to be clear, I'm not making any kind of blanket statement on sequels. I just want to confirm with you that this is product driven, correct? In your opinion, these are just bad films, in your view, because obviously, there's plenty of examples of sequels that have done well this year. It's just, these are really established franchises, and they've really fallen flat. I'm just wondering if there's anything you're parsing out in the data at the box office.
Mark Zoradi - Chief Executive Officer & Director: I'm not going to categorize them as bad films. I will categorize them as if they weren't commercially successful. And so, I think that the first statement you made is in fact, what I really believe, and that is, that it is content driven. So I think that's probably the best way to leave it.
David W. Miller - Topeka Capital Markets: Okay. Fair enough. Thank you.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: At this time, there are no additional questions.
Mark Zoradi - Chief Executive Officer & Director: We thank you all very much for the call, and I appreciate your time. Thank you.